Operator: Thank you for standing by and welcome to the ReNew Q2 2025 Earnings Report. All participants are in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Anunay Shahi. Please go ahead.
Anunay Shahi: Thank you. Good morning, everyone, and thank you for joining us. We did put out a press release announcing Results for Fiscal 2025 Second Quarter Ended September 30th, 2024, last night, and a copy of the press release and the earnings presentation are available in the Investor Relations section on ReNew's website at www.renew.com. With me today are Sumant Sinha, our Founder, Chairman and CEO; Kailash Vaswani, our CFO; and Vaishali Nigam Sinha, Co-Founder and Chairperson, Sustainability. After the prepared remarks, which we expect will take about half an hour, we will open the call for questions. Please note our Safe Harbor statements are contained within our press release, presentation materials, and materials available on our website. These statements are important and integral to all our remarks. There are risks and uncertainties that could cause our results to differ materially from those expressed or implied by such forward-looking statements. So we encourage you to review the press release we furnish in our Form 6-K and the presentation on our website for a more complete description. Also contained in our press release, presentation materials, and annual report are certain non-IFRS measures that we reconcile to the most comparable IFRS measures and these reconciliations are also available on our website in the press release, presentation materials, and our annual report. It's now my pleasure to hand it over to Sumant, who recently featured in Times' list of 100 Most Influential Leaders Driving Business Climate Action. Over to you Sumant.
Sumant Sinha: Yeah, thank you, Anunay. Good morning, everyone. Good evening or good afternoon and glad to have all of you on our earnings call. Before we get into our business, let me take note of extreme weather changes that we continue to see globally, underlining the urgent need to deliver sustainable sources of clean energy. From forest fires in the US to flash floods in Europe or the soaring AQI levels in Northern India, which we are currently experiencing, we see more events that indicate that climate change is for real. ReNew of course is doing its bit to fight this enormous challenge by changing the energy mix of India, the most populous country on the planet with a growing energy demand and no alternative sources to fill the demand-supply gap. Having said that, let me now turn to updates from our business. I am glad to inform our investors that we are on track to deliver the megawatts and accretive growth for the current fiscal year along with expanding our contracted pipeline. We continue to strive towards reducing costs and building efficiency in our operations. Among all our peers, we have commissioned the most renewable energy megawatts in India in the first six months of this fiscal year. While our share price movement has been affected by US Macro factors, these factors actually have little or no bearing on our own business or growth or profitability as all of our business and operations are linked to the Indian economy. That is in fact expected to grow at more than 7% this fiscal year. Turning to highlights for the quarter. We have commissioned 860 megawatts to date in this fiscal year and are on track to meet our guidance of installed megawatts. In addition to the 860 megawatts commissioned so far, there are another 350 megawatts to 400 megawatts that are currently installed which should be largely commissioned in the third quarter. Our total operating capacity net of assets that we sold in the last fiscal year grew by approximately 30%. Our total portfolio in absolute terms grew by about 18% and would have been an even higher 21% after adjusting for the 400 megawatts that we sold last year. Including the approximately 700 megawatts capacity signed in October of this year, we have been able to sign PPAs for 2.9 gigawatts of renewable energy capacity in the current fiscal year, extending thereby our current portfolio from 13.8 gigawatts in September '24 to 16.3 gigawatts. That does not include 900 megawatt hours of battery storage capacity that are part of our complex projects. So, just to say again, our current portfolio is 16.3 gigawatts of contracted capacity, including to that another 900 megawatts of battery storage capacity, which is in addition to that. Turning to our financial performance, we reported a 14% growth in our adjusted EBITDA this quarter, driven by cost optimization. In addition, we had a 31% increase in profit after tax, primarily on account of lower G&A and lower finance costs and Kailash will cover this in detail in the finance section. Our 6.4 gigawatt solar module manufacturing facilities are now fully operational. I am delighted to announce that recently our cell facility has started trial production of cells as well. While it is expected to take the rest of the fiscal year to stabilize cell operations, we expect that our entire cell and module facilities will be stabilized fully and will be operating for the full next fiscal year. In addition, we have now secured an external order book of over 900 megawatts, ensuring that our surplus capacity is sold in the market. Additionally, we are also listed as a Bloomberg Tier 1 supplier, underlining the quality that we have been able to create. Turning to Page 8, we are committed to creating shareholder value of course. Over the years, we have built a sustainable competitive advantage in one of the fastest-growing markets globally by raising capital through the cheapest source. We have grown responsibly, demonstrating capital discipline and taking up projects where returns are significantly above the cost of capital. Not only this, we have also created a platform with in-house manufacturing EPC and O&M bundled with our own digitization and data analytics. We are the leaders in complex solutions and one of the very few Indian IPPs to have commissioned over 2 gigawatts of renewable energy assets in a single year. Turning to Page 9, we continue to be one of the leaders in terms of megawatts commissioned since Q3 of FY'24 as we have commissioned 2.4 gigawatts or about 25% of our portfolio in this period of the last 12 months. Our operating megawatts have increased by around 30% after adjusting for asset sales that we did in the last 12 months. Fiscal year to date we have done around 860 megawatts of commissioning, ensuring that we are on track to hit our megawatt target for the year. In addition, we also have about 350 megawatts of solar projects that are currently installed and are in the process of getting connected to the grid. We expect that the peak power project should also be fully commissioned this quarter and so will the RTC Wind Phase 2 will also start getting commissioned later this quarter. While our peers in the market have faced connectivity and supply chain issues, our strategy has ensured that we have not only secured interconnection approvals for our current bid wins, but also beyond that. That is for our bid wins, not just for the contracted capacity. Our in-house EPC teams have ensured that supply chain bottlenecks are sorted out and there is no shortage of materials for wind or solar sites. Additionally, we continue to demonstrate capital discipline as the auction markets continue to evolve at a rapid pace. As stated earlier, we don't target market share, but are focused on delivering returns above our cost of capital, targeting levered returns of 16% to 20% and we have won around 1.4 gigawatts of additional capacity so far this fiscal year, where the expected returns have met our thresholds. Do note that while there are still over 6 gigawatts of bid wins with letters of award beyond our current portfolio, that won't be included into our portfolio until the PPA is signed. We are pacing our construction principally around interconnection infrastructure availability. Turning to Page 10, let me turn to updates from our manufacturing facilities. Getting into manufacturing was a strategic move to secure our supply chain as India was moving to restrict imports of solar modules into India. This barrier meant that we needed to build our own facilities. The results are visible in the commissioning that we have been able to do in the last 12 months or so using our own solar modules. While the two module plants are fully ramped up, I am happy to announce that our cell plant in Gujarat has also started trial production. Our plants are now featured in the Bloomberg Tier 1 module supplier list as well as a PVEL Top Performer 2024. Our external order book now stands at over 900 megawatts and is likely to grow and contribute to consolidated EBITDA. We will be able to provide more granularity on the FY'26 projected numbers along with our FY'25 results next year. In addition to securing supply, we are also looking to de-risk our capital by finding partners for the manufacturing business. Let me now hand it over to Kailash to talk more about the financial updates. Kailash, over to you.
Kailash Vaswani: Thanks, Sumant. Turning to Slide 12, we continue to deliver consistent growth in megawatts and profitability. Since the same time last year, we have constructed over 2.4 gigawatt of projects, a nearly 30% increase in operating capacity after adjusting for the 400 megawatts sold during last year. Not only this, but I'm also happy to report a 31% increase in profit after tax year-on-year. This has been possible through a continued focus on cost control and building efficiency in our operations. We also continue to expand our contracted pipeline with a 21% increase in the portfolio adjusted for asset sales that we have made during the year and our contracted portfolio now stands at 16.3 gigawatt. There has been an 18-day reduction year-on-year in the debtor sales outstanding which follows the trend that we have been able to deliver over the past two years. There's been a sequential uptick, but that largely reflects the seasonality primarily due to higher revenue earned during Q1 and Q2 to be earned in Q3. We expect lower DSOs in the following two quarters. On Slide 9, in addition to profitability, we are also focused on generating cash from our projects. Our cash from operating activities has been increasing to almost INR20.1 billion in this quarter. It's almost a 10% increase year-on-year. Cash profit, a non-GAAP measure to showcase our P&L on a cash basis increased by 31% to 9.2 billion -- from INR9.2 billion to INR12.1 billion for the quarter. Turning to Slide 14, net debt to EBITDA leverage at the operating asset level continues to be below 6x, a threshold that we have set for ourselves. On a trailing 12-month basis, leverage was around 5.9x, excluding our under-construction portfolio with contribution from JV partners in the form of compulsory convertible instruments and our manufacturing and transmission businesses. As we continue to grow our portfolio, the proportion of under-construction projects should come down and will improve the ratios in addition to our efforts to be disciplined in our approach towards capital deployment. Turning to Page 15, we have had questions about how we derive returns from our financials, given the distortion between growth and other businesses which we've done. What this slide shows is that we build up our assets at 7 times to 7.5 times project cost to EBITDA. The projects are funded 75:25 in the ratio of debt to equity and hence typically the project debt levels are expected to remain around 5.5 times debt by EBITDA in the initial years of the project and the interest and depreciation ends up providing us with a tax shield on that. While generally, we assume no asset recycling while bidding for projects, we have demonstrated the value creation in several transactions wherein we've been able to sell the assets between 9 times to 9.5 times EV bidder or 2 times price to book, creating additional value and raising low-cost equity for growth and which currently remains for us the cheapest source of equity to grow our pipeline. Let me now hand it over to Vaishali for comments on ESG.
Vaishali Nigam Sinha: Thank you, Kailash. Turning to Page 17, with the strong performance in the first quarter and the successful release of our inaugural Annual Integrated Report making significant strides towards achieving our sustainability targets, we are pleased to present the updates for the second quarter of fiscal year '25. ReNew is committed to leading the way and to meet its net-zero targets. I'd like to highlight a few. We've achieved carbon neutrality for the fourth consecutive year and showcasing 10% reduction in Scope 1 and 2. ReNew is focused on enhancing the ESG ratings. As part of this effort, we've strengthened and developed key policies including the Board diversity, stakeholder engagement and data privacy policies, all of which are available on our website. Social responsibility has been integral to our business. Our CSR journey began in 2014 and since then we have impacted the lives of over 1.4 million people across 500 plus villages in India spanning over 10 states. Turning to Page 18, I would now like to switch to some of our efforts for Q2 fiscal year '25. Women for Climate, this is a socioeconomic empowerment program which is focused on building climate resilience where we have trained over 450 women salt pan farmers. Employee Driven Programs, we have programs led by our employees ensuring sustainable, equitable, and responsible growth. Our volunteering campaigns cover Rice Bucket Challenge, which is donating rice to needy and contributing towards a hunger-free India where we've distributed over 210,000 kilos of rice. ReNew has been recognized for its sustained efforts in advancing sustainability. Turning to Page 19. Switching to showcase some marquee recognitions for Q2 fiscal year '25. At the Ministry of New and Renewable Energy's flagship event, RE-INVEST, ReNew solidified its position as a market leader across different categories. The prestigious Sword of Honour Award was earned by ReNew's Hydropower Plant for safety. We were placed on the 18th position in the Energy Innovators Group in Fortune's renowned Change the World List. Turning to Page 20, showcasing our progress update on ESG targets for Q2 FY'25. Advancing to the second phase of our Sustainable Supply Chain Assessment set to begin this quarter, we focused on supplier evaluations, recognition initiatives and capacity-building efforts which are so critical in this sector. We maintained our AA rating with MSCI securing a position in the Leadership band. We have also submitted our 2024 responses for CDP and CSA with submissions to MSCI and Refinitiv planned for the next quarter. So we are on our sustainability journey and it's on track. We have also identified 46 schools for electrification across Rajasthan and Maharashtra in collaboration with HSBC. Additionally, four digital labs were established in Uttarakhand and 25 entrepreneurs received support through the Greentech Accelerator program. Let me now hand it back or over to Sumant for guidance. Thank you.
Sumant Sinha: Yeah, thank you, Vaishali. Coming to our guidance, we are reaffirming our megawatts in spite of some challenges in wind execution and adjusted EBITDA guidance. We have also updated guidance for our updated contracted portfolio of 16.3 gigawatts. Do note that seasonally our Q3 numbers are normally lower than the Q2 numbers due to weather patterns. With that, we will be happy to take any questions. Anunay over to you.
Operator: Thank you. [Operator Instructions] Your first question comes from Justin Clare with ROTH Capital Partners.
Justin Clare: Hi. Good morning. Thanks for taking the questions here. So, first, I wanted to ask about the RTC project. So looks like it's planned for completion still in the second half of 2025 -- fiscal 2025, but it looks like it's subject to the transmission readiness. So I was wondering if you just provide a little bit more detail on whether you think the transmission will be ready in time or if there's a potential for delay. And also wondering, if this is a case where you think with this RTC project, you might end up selling in the merchant market before you end up selling under the PPA.
Sumant Sinha: Yeah, Anunay, should I take that?
Anunay Shahi: Yes, Sumant. Please go ahead.
Sumant Sinha: Okay. Yeah, Justin. Hi. So, yeah, the RTC project will be ready in the second half of this year. And as far as the transmission part is concerned, I don't think there's any delay that we expect to have on account of the transmission or the interconnect. I think all of that is pretty much on track. So I don't see that delaying matters. And to the extent that we are able to commission certain parts of the project ahead of the final commissioning, to some extent we can sell that in the merchant market. But the way the PPA was structured, it meant that up to the first 400 megawatts of delivered capacity, we would have to sell to the end customers. And it's only when we generate capacities higher than 400 megawatts, are we able to sell that part of the market, that part of the capacity into the merchant market. So there will be some sales in the merchant market, but small amounts, which is, by the way, dissimilar to what is happening on the peak power project where we are being able to sell into the merchant market whatever is in fact commissioned so far.
Justin Clare: Okay, got it.
Sumant Sinha: So this is -- people were drafted differently and therefore had different outcomes for party commission capacity.
Justin Clare: Okay, okay. That makes sense. Thanks. And then also wondering if you could just comment on the new proposed restriction for cell manufacturing with the intention to eliminate cell imports. Does that affect your thinking on your manufacturing plan, your plans for capacity here? And then just wondering if you think your 2.5 gigawatts of cell capacity will be sufficient or could you look at expanding that?
Sumant Sinha: Yeah. So the government is quite actively thinking of imposing an ALMM for cells starting in April 2026. So there's still about 18 months left for that to happen. So the government is giving significant advance notice that this is something that is likely to come in the near future. And so that gives us time to plan for our own response to that. And the most sensible response for us would be in fact to expand our cell capacity to a point where it meets at least, at the very least our own internal requirements. So that's something that we are actively considering at this point, but we haven't taken a final decision on that yet. But yeah that would in fact be the sensible thing for us to consider doing.
Justin Clare: Okay. Got it. Appreciate it. Thank you.
Operator: Your next question comes from Maheep Mandloi with Mizuho.
Maheep Mandloi: Hey, hi, thanks for taking the questions here. I think impressive job on the cost optimization. Could you just maybe touch upon that as to what drove that and how to think about the cost optimizations? And maybe if I can tag on that like if I look at the medium-term guidance I think you have only 700 megawatts of more build-outs, but the EBITDA increase or the CFE increase is much higher than that ratio. So it looks like you expect more cost cuts or optimizations in the medium term as well. So could you just touch upon those? What are the drivers for that? Thanks.
Sumant Sinha: Yeah. Kailash, do you want to take that?
Kailash Vaswani: Yeah. Sure, Sumant. So, Maheep, basically on cost what we have been doing is that there's been a lot of optimization program that we've been running within the company and a lot of discretionary spends are being canceled, given the underperformance that we have been seeing as far as wind is concerned. Also, we have managed to renegotiate a lot with some of our OEMs on some of the O&M contracts for our earlier wind projects. So that's helped us also reduce the cost on existing projects on a going forward basis and also enabled us to write back some provisions that we had kept in the form of equalization reserves. So we expect that some of these benefits will continue into the future. And the idea is to obviously now grow the portfolio from here on without incurring any significant additional cost as far as manpower and all is concerned and get the benefits of whatever operating leverage we can get.
Maheep Mandloi: Got you. Got you. And then just to also maybe clarify on that, that 700 megawatt which is adding to your medium term, that PPA is more or less in line with recent PPAs or how to think about the PPA price because I was trying to find the when and couldn't find any details online.
Kailash Vaswani: Yeah. So these projects have all been won within the last 1 year, 1.5 years. So the returns are within our thresholds as we've been discussing.
Maheep Mandloi: Got it. And then separately, just looking at the FDRE and the hybrid projects, I think you had some changes possible on the solar and the wind mix in those events over there. Could you just like clarify what's driving that? I know you kind of talked about transmission beacon issue, but when would you know that and any other reason which was driving that? And how should we think about the impact on the IRRs? Does doing more solar, for example, increase the IRRS here or how should we think about that? Thanks.
Sumant Sinha: Yeah, if you want me to take that, I can. So, Maheep, basically what's happening is that from the time that we run some of these bids, prices have obviously moved and equipment costs have -- in the -- primarily in the case of solar have come down quite sharply and so have the cost of batteries. And what that is allowing us to do is to reconfigure some of these plants in a way that therefore there is likely to be more solar and more batteries in them and less wind, which also is something that will mean less variability because, as you know, we've had a lot of variability on wind speeds and so on. So we are quite happy to therefore decrease the amount of the relative amount of wind in some of these projects. And the net result of all of this in our minds is that the IRRs are actually improving by doing this reconfiguration and hopefully with less variability associated with them. So that's what we have done for a lot of our RTC and FDRE projects that we have won recently in the last couple of years.
Maheep Mandloi: Got it. But to your point, there's more and more flexibility on the PPA side and so you still be in that 12%, 16% levered IRRs.
Sumant Sinha: No, no. Not more than that. See, these are all bids that we have won in the last 18 months, and frankly, a lot of them in the last -- in the time period of 6 months to 18 months back. And as I said, equipment costs have come -- have been coming down over this time period. So we -- when we won these bids, they were already at attractive IRRs. By doing the reconfiguration, we're actually able to increase IRRs even more. So I think they're all at the higher end of our threshold levels.
Maheep Mandloi: Got you. And then maybe just like one last one from me and I'll hand over to others on that 900 megawatt cell and module order. I think that's 600 last quarter just for modules. How much of that is international? I know I've seen you guys in international conferences or trade shows, but just curious if it's all India or do you have some international as well?
Sumant Sinha: At this point, Maheep, this is all India.
Maheep Mandloi: Got you. Perfect. Thanks.
Operator: Your next question comes from Nikhil Nigania with Bernstein.
Nikhil Nigania: Yeah, thank you for taking my question. My first question is regarding the PPAs. So wanted to understand and good to see the wins by ReNew and the tariffs that are happening. But are we seeing a slowdown in tendering activity in India or slowdown in signing of PPAs, given the big quantum that we saw happen last year and early this fiscal as well?
Sumant Sinha: So, Nikhil, we haven't yet seen a slowdown in the bidding process, although there have been more sort of discussions around it within government corridors. And so that is something that you may see happening in the future. But at this point, everybody continues to bid out capacities. I guess, the key issue is what is the amount of PPA conversion that is happening and that as we all know, there is a gap and there's about 40 gigawatts of PPAs that have not yet been signed off all the auctions that have happened.
Nikhil Nigania: Got it, Sumant. And related point was, I also see some legacy PPAs that we have, example, SECI 11 for wind, where tariffs are quite below the tariffs we are seeing right now. Is there any option to exit some of those legacy contracts which we have not built?
Sumant Sinha: Yeah. So, you know, actually a lot of these contracts have a lot of complexity associated with them because in a number of cases, the PPAs got signed after a very long time. And our contention is that it's not fair to hold us accountable for bids that might have happened a year, two years prior to when the PPAs are finally in the process of getting signed. So a lot of those are under discussion right now with the regulatory authorities and the bidding agencies to see whether in fact those should be proceeded with at all or not. And of course our downside is that in case we don't do it and the bidding agencies say, no, no, you should have. Then of course there is a PPA amount -- there is a BG amount that would be -- penalty that would be leviable. But that -- in some ways that bounds the downside that we have. So that's really where we are. But of course, our first attempt is to be able to demonstrate that some of these projects were -- by the time they got signed were totally things have changed.
Nikhil Nigania: Understood. Thanks, Sumant. The third question and the last set of questions I have is regarding the module business. Again, very timely commissioning of the module plant and now the cell plant, given most of it to be used internally, I wanted to understand, if you had to compare ballpark CapEx per megawatt for a solar plant with the in-house manufacturing versus without where do things -- where would you indicate and place it? Also which would give us a sense of the benefit ReNew gets from it. And we -- this entire 6.4 gigawatt module at 2.5 gigawatt cell, am I correct to assume it's Mono PERC and not TOPCon?
Sumant Sinha: Yeah, so many questions there. So let me try to unpack them. The module lines are -- were initially set up as Mono PERC, but are being entirely converted to TOPCon. Most of the conversion has already happened. We have eight lines altogether. I think six or seven of those lines have already got converted. The conversion from module line from Mono PERC to TOPCon is relatively straightforward. Takes a couple of weeks, so that is all happening. The cell lines are Mono PERC lines and those will continue to operate that way. We may consider converting them to TOPCon depending on the cost and the requirement and so on. But at this point, they are Mono PERC. The question that you asked, which is what is the advantage that we are getting? The flip side to look at it is that what is the margin that we are making in the cell manufacturing business for third-party sales? I guess that is in some ways an estimate or giving us a pointer to what the prices, the benefit that we are getting. And it is actually quite sizable to be very honest with you, because we all know that margin in the solar manufacturing business are reasonably high right now and how long they stay of course is a different matter. But today they are high. And so had we been buying from the market, I would say, there would be at least $0.015 to $0.02 differential that you would have had to pay. But having our own manufacturing capacity therefore allows us to not have to pay that extra cost. So I think that is the benefit that we are getting from having in-house manufacturing. Now of course internally we have arm's length pricing between the two businesses, but of course, it all gets consolidated out for internal sales. Just to also add that not all of our solar manufacturing is going to go in-house. We expect about 50% to 60% of the modules to be delivered in-house and the balance will get sold externally. And so to the extent that prices stay high, to that extent, we will get benefit in our solar manufacturing business on third-party sales. Now the guidance on that we are not giving because this year was in some way the startup year for us, so we didn't give any guidance for this year. And for next year, we will, as we get closer to that point and once we get a better sense of our order book and so on and likely pricing levels, we'll then at that point give guidance for the solar manufacturing business separately.
Nikhil Nigania: Got it, Sumant. Very clear. Thank you so much for answering my questions.
Operator: Your next question comes from Aniket Mittal with SBI Mutual Funds.
Aniket Mittal: Yes, thank you. A few questions. Firstly, just to get some clarity on the wind PLFs, again, the average PLFs for the quarter are down about 300 basis points to 38.3%. If you could just elaborate the reasons for that. And typically how far away would this be from P90 levels?
Sumant Sinha: Yeah, so you know, Aniket, forecasting wind and therefore assuming what is the right P75, of course, is an assessment that we make and somebody else's assessment could be higher or could be lower depending on how they go about doing it. We are tending to be relatively conservative on these forecasts because obviously wind has not been kind to us over the last four years or five years now. So it's something that has in some ways impacted or shaped our view on what assumptions to make for wind PLFs going forward. But just to give you an answer to that question specifically, the 300 basis points probably is at the P90 level, away from the P75 that we would have assumed. Last year was just at the 41.3% was just two percentage points, three percentage points below what we would have assumed to be the P75. And this year being 300 points below that would get us to maybe between P85 and P90. So that would be the performance likely from this year's been so far. Now of course there is another five months, six months still left and we have to see what happens and there could be changes in that as well.
Aniket Mittal: Okay. I got that. That's really helpful. The other question was specifically on the C&I portfolio, if you've got a fairly large, I think close to 1.3 gigawatt in construction. If you could just give me a bit more granularity, let's say on the execution timelines over here and are there any challenges that currently facing on the C&I front?
Sumant Sinha: So Aniket, half of that 1.3 is likely to get commissioned this year. And I'm giving you a ballpark number and the balance would probably get done next year. There are no challenges that we are facing in the C&I business per se. I think everything is going very smoothly in that business. We are actually -- there's a lot of demand in the market. We're actually turning back a lot of people that are coming to us because their projects are perhaps too small or in states where we may not have development capacity. And we are really from our side focusing on the larger off-takers, people typically at 100 megawatts and above type level and the US large tech companies. I think those are the areas that we are looking at right now. And there seems to be a lot of interest and appetite from all of these segments of the market. And our sense is that we should be able to get easily up to 15% of our total every year capacity coming in from the C&I segment.
Aniket Mittal: Got that. Lastly, just in the finance cost. If I look at the balance sheet on a Y-o-Y basis, our gross debt is up almost 19%, but the finance costs have been stable. I understand some of this would still be within CWIP, but still, we've put a fairly good control on the interest costs for the quarter. If you could just highlight. Why is that happening?
Kailash Vaswani: Yeah. So see what's happening as far as finance cost is concerned. We were hit by mark-to-market moments because of the open exposure that we had earlier on rupee-dollar exchange rate. And what we've done since then is that we have put all those into firm hedges where there is no mark-to-market impact. So that is contributing a lot as far as our finance cost stabilization is concerned. Secondly, we also done some refinancing of high-cost debt. We had made some announcements that we had bonds which matured and we refinanced that when we got a 200 basis point saving as far as finance cost was concerned. So all that is also being reflected now in the numbers on an as reported basis.
Aniket Mittal: Okay. Just one last question, if I may squeeze it. In one of the earlier questions you highlighted on the other expenses, there's some write-back that you've done on certain provisions. Could you quantify that number? What's the write-back that's sitting in other expenses?
Kailash Vaswani: So because we had O&M equalization reserve earlier, which was built at a certain level of O&M cost because we managed to reduce our O&M cost, we were able to reverse that provision. So that was somewhere in the range of around INR60 crore.
Aniket Mittal: Okay. Got that. Those are the questions.
Operator: Your next question comes from Puneet Gulati with HSBC.
Puneet Gulati: Yeah, thank you so much. My first question is with respect to your EBITDA guidance for 16.3 gigawatt. And a few quarters back you talked about reevaluating numbers in the length of variability of wind. Does the 16.6 gigawatt run rate EBITDA that you've given in your presentation now factors in poor PLF on wind or is it still more on a normalized basis?
Kailash Vaswani: Yeah, so we have. Yeah, yeah, sure. So Puneet, we have taken some normalization from our initial estimates, but doesn't reflect the year's performance for example, because we are still seeing current performance being affected by near-term trends which are likely to reverse in the longer term. But there has been some adjustment that has already been factored in.
Puneet Gulati: Understood. But there could be room for some more adjustment in this as well.
Kailash Vaswani: So again the thing is that when we do our planning we assume that there will be normalized wind and because of actual performance there could be some variation. So again I can confirm to you that we have assumed some adjustment to our earlier estimates to assume make more normalized estimate basis the last few years' track record. But year-on-year there is still some variability which may still be there.
Puneet Gulati: Interesting. And on your module you said half the consumed in-house and half sold. What is the plan for sales? Is there a thought to cede the US market as well?
Sumant Sinha: So Puneet, on sales, I mean, to the extent that we can tap into that market, of course, we would like to do that, there's no question. But it really all depends on how open that market is, what is the total, what is the pricing we can get there versus the pricing we can get in India. Right now in India the DCR market is also very attractive and it's giving us very good margins. And so we are quite with whatever little -- whatever surplus we have, we are happy to sell into that market right now. But having said that, as Maheep said, we are keeping our eyes and ears open for selling into the US market as well. We are participating in a lot of the conversations are going on there. So yes I think to the extent that we can sell into that market and it gives us better margins, definitely, we will be looking at doing that.
Puneet Gulati: So what is your assessment of the pricing for the DCR market in the sell side currently?
Sumant Sinha: What is the pricing? See, it's a function of what is the wafer cost. So, at least internally, we tend to think of it more in terms of what is the margin that we're getting for conversion.
Puneet Gulati: Okay.
Sumant Sinha: And that is not something that we've disclosed so far. And I don't want to just give you a number just like that. I think we'll work it out to be sort of look at exactly what and how we want to disclose it and then we'll come back. The only thing I would say is that the margins that we are getting both from modules and cells right now are actually quite attractive. And that is in fact being reflected, as you can see, in the profitability of some of our peer group companies in the segment right now. So some benefit from that. We are also seeing that in our solar business.
Puneet Gulati: Okay. And out of the 2.6 gigawatt that you have already produced, how much has been sold outside so far?
Sumant Sinha: I can't give you an exact number, Puneet. Anunay and Kailash, would you guys know?
Kailash Vaswani: It's right now less than 100 megawatts.
Puneet Gulati: Okay, that's it. Thank you so much and all the best.
Operator: [Operator Instructions] Your next question comes from Macauley Smith with Ninety One.
Macauley Smith: Hi. Thanks. You've answered most of my questions. I just wondered if you could give any guidance on CapEx for the remainder of the year?
Sumant Sinha: Kailash?
Kailash Vaswani: Yeah, so. Hi. So most of the CapEx for the remainder of the year has already been incurred. I would say that maybe we have a few solar projects in which some CapEx work is going on. That would be somewhere in the range of around $200 million to $250 million.
Macauley Smith: Okay. And just for the capacity at the end of the year, what are your expectations on commissioned -- total commissioned capacity?
Kailash Vaswani: So we have given guidance of doing between 1.8 gigawatt to 2.4 gigawatt. I think we are still tracking within that range 1.9 gigawatt to 2.4 gigawatt. So that will take us to somewhere around 11.5 gigawatt in that ballpark.
Macauley Smith: Okay, thank you. That was all my questions.
Operator: Thank you. There are no further questions at this time. That does conclude our conference for today. Thank you for participating. You may now disconnect.